Operator: Thank you for standing by and welcome to the FactSet Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I would now like to hand the call over to Kendra Brown, SVP, Investor Relations. You may begin.
Kendra Brown: Thank you, and good morning everyone. Welcome to FactSet’s second quarter 2022 earnings call. Before we begin, I would like to point out that the slides we will reference during this presentation can be assessed via the webcast on the Investor Relations section of our website at factset.com. The slides will be posted on our website at the conclusion of this call, and a replay of today’s call will be available via phone and on our website. After our prepared remarks, we will open the call to questions from investors. To be fair to everyone, please limit yourself to one question plus one follow-up. Before we discuss our results, I encourage all listeners to review the legal notice on slide 2, which explains the risks of forward-looking statement and the use of non-GAAP financial measures. Additionally, please refer to our Forms 10-K and 10-Q for a discussion of risk factors that could cause actual results to differ materially from these forward-looking statements. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliation to the most directly comparable GAAP measures are in the appendix to the presentation and in our earnings release issued earlier today. Joining me today are Phil Snow, Chief Executive Officer, and Linda Huber, Chief Financial Officer. I will now turn the discussion over to Phil Snow.
Phil Snow: Thank you, Kendra, and good morning, everyone. Thanks for joining us today. Before I begin my remarks, I want to remind everyone that we are hosting an Investor Day on Tuesday, April 5th both in-person in New York City and via livestream. We look forward to sharing more about our business strategy, growth initiatives, and long-term financial outlook at this event. To register, please see our website. You may also reach out to Kendra for additional details. I hope to see many of you there. I am pleased with our impressive second quarter and first half results as we executed on our pipeline and built on our strong momentum from Q1. Our organic ASV plus professional services growth accelerated to 9% in the second quarter, led by growth in workstations and portfolio analytics and our capturing higher price increases in the Americas. We also saw several large renewals, which further affirmed the strength of our offering and investments in product and content. Our strategy continues to drive top-line growth and allows us to capture more share of wallet with our clients. Growth this quarter was strongest among our buy-side clients, with the biggest contributions coming from asset managers and wealth clients. All buy-side firm types experienced accelerated growth in the second quarter, with broad-based strength across all workflow solutions. We continued to see double-digit growth from banking, wealth, hedge fund, and corporate clients, along with private equity and venture capital funds and partners. Retention was a key driver this quarter, with our investments in content and technology continuing to resonate. New business accelerated globally, led by the Americas. While we had success with larger deals, we also continue to see a higher volume of small and medium-sized client wins. We are pleased that our performance resulted in a 20.2% increase in adjusted EPS from the prior-year period and an adjusted operating margin of 33.7%, exceeding our prior guidance. Our third quarter looks solid, with a strong pipeline for our second half. As such, we are adjusting our fiscal 2022 guidance to reflect 8% to 9% ASV growth, expansion of our adjusted operating margin, and adjusted EPS of $12.75 to $13.15. Linda will walk you through the details shortly. Our focus remains the same to build the leading open content and analytics platform. This quarter, we continued to scale our content refinery and enhance the client experience with personalized workflow solutions. FactSet’s open ecosystem and cloud-enabled components provide flexible tools that enhance efficiency and connectivity across the front, middle, and back office. Our cloud program allows us to meet clients where they work with innovative products and technology. Partnerships with enterprise software providers are expanding the reach of our platform. And earlier this month, we announced a strategic partnership to integrate Portware, our leading execution management system, with BlackRock’s Aladdin platform to provide clients with a seamless experience across multi-asset portfolio management and trading execution. Our content refinery also continues to drive meaningful ASV as we build out our offering, focusing on ESG, data for wealth, private markets, and deep sector. We see the acquisitions we’ve made over the last year helping accelerate growth. And we are seeing continued success with private equity and venture capital clients, with our integration of Cobalt on track. We closed several new Cobalt deals over the quarter, and our Cobalt + Workstation offering is expanding our pipeline to new sales. Deep Sector was a driving factor in key sell-side renewals this quarter. As client dependency on content and workflow solutions grows, we also see new business traction with corporates as our Deep Sector offering expands our addressable market. Fiscal year-to-date, there have been over 30 key releases across seven sectors, including integration of BTU research into Document Search. Our investment in our digital platform is paying dividends. Advisor dashboard is driving expansion and new business, with its next best action capabilities providing tangible efficiencies and insights for wealth advisors. Hyper-personalized, workflow-driven solutions, fueled by our content, differentiate us in the market and provide continued greenfield opportunities. Goran Skoko, Rob Robie, and Jonathan Reeve will provide more details on our products and initiatives to drive growth for our Research and Advisory, Analytics and Trading, and CTS workflow solutions as part of Investor Day. I’d like to officially welcome the CUSIP Global Services team to FactSet. I’ve had the pleasure of meeting many members of the CGS team and look forward to continuing to build on their industry-leading brand. In addition, we are very pleased with our new relationship with the American Bankers Association, whose leadership we met with earlier this month in Washington DC. We look forward to a strong and collaborative relationship with the ABA. The addition of CGS aligns well with our multi-year strategy to invest in content and technology. This is a natural extension of our content refinery as we significantly expand the breadth and reach of our robust suite of data management solutions. We look forward to sharing more on CGS at our upcoming Investor Day.  As part of the CGS transaction, we came to market with our inaugural $1 billion senior notes offering. I am very pleased that this offering received investment-grade ratings from both Moody’s and Fitch, reflecting the strength and consistency of our financial health. Looking across our regions, we saw broad-based strength across all workflow solutions. The Americas continues to be the biggest contributor to growth, with ASV growth accelerating to 10% over the quarter. Growth was driven by improved retention and new business wins with corporates, wealth, private equity and venture capital firms, and asset owners. The region also benefited from higher price increases across all firm types.  ASV growth accelerated to 8% in EMEA, marking the fourth straight quarter of consistent improvement. We saw strength from wealth and asset managers among existing clients and expansion among our banking clients. We also saw new business wins with corporates and asset owners. Asia Pacific also had another strong quarter with ASV growth of 14%. Asset managers, in particular, continued driving growth across the region with broad-based strength across our product portfolio with both new and existing clients. In summary, I am proud of our first half performance. Our momentum continues as we successfully invest in technology and develop our content refinery. Our pipeline continues to build as we head into the second half of our fiscal year, driven by demand from both new and existing clients. While we see some choppiness in the market today, FactSet has a proven history of growth in volatile markets. Our products and solutions are mission critical for our clients, particularly in times of market volatility, as we help the investment community generate alpha and identify the next best action faster. We continue to see increased demand for our solutions, which reinforces our conviction that our strategy is delivering and will continue to deliver sustainable growth. We believe that our culture and performance driven mindset creates a strong advantage both in how we serve our clients and as we focus on attracting, retaining, and developing top talent in this competitive and dynamic environment. We are dedicated to investing in our people and giving our team the support and flexibility they need to navigate and be successful. I could not be more proud of our constant team effort to deliver personalized, innovative, and efficient solutions for our clients.  Our focus on our people is part of a larger effort to become a more diverse, thoughtful, and impactful organization. We are committed to sustainable growth for our clients, employees, investors, and communities. And the principles underpinning this commitment are built into all aspects of our business. We recently released our fiscal 2021 sustainability report, which highlights our progress – including creating a sustainability plan and signing the UN, PRI and Global compact, among others. The report also outlines our commitments to the future. I encourage you to take a look. Finally, the ongoing invasion of Ukraine is top of mind for us, just as it is for the rest of the world. During these troubling times, the safety and security of our team is a top priority. In light of the situation in Ukraine, FactSet has decided to discontinue all commercial operations and delivery of products and services to clients inside Russia, and we are terminating all contracts with vendors in Russia. These actions will not have a material impact on our business or client relationships. Linda will now take you through the specifics of our Q2 performance. Linda, over to you.
Linda Huber: Thank you, Phil, and hello to everyone on the call. We’ve been extremely busy in the second quarter, as we worked to close the acquisition of CGS, went to market with our investment grade inaugural senior notes offering, negotiated our new credit facility, and put the finishing touches in place for our April 5th Investor Day. I join Phil in recognizing the efforts put forth each day by our FactSet employees. Our teams have done amazing work. It has been an exciting time in the company's evolution. As you have seen from our press release this morning, we are pleased to report acceleration in our top line, with double-digit revenue growth and high single-digit growth in organic ASV plus professional services. I will now share more details on our second-quarter performance. Consistent with our definition of organic revenues and ASV, we will exclude any revenue and ASV associated with CGS when reporting organic-related metrics for the 12 months following the acquisition date. As Phil stated earlier, we grew organic ASV plus professional services at 9%, an acceleration reflects increased demand for our digital solutions, disciplined execution on our sales pipeline and pricing strategy, and a supportive external environment with tailwinds from the capital markets and overall economic growth. Benefits from our investments in both content and functionality are validated by our annual price increase. For example, in the Americas, our price increase yielded $21 million, $7 million more than the prior year. While an inflationary environment did enable us to raise the rate of price increases above our historical 3% to 4%, we also realized these price increases across a wider base of clients. GAAP revenue increased by 10% to $431 million for the second quarter. Organic revenue, which excludes any impact from foreign exchange, acquisitions and deferred revenue amortization also increased 10% to $431 million. Growth was driven primarily by our research and advisory and analytics solutions. All regions saw notable growth. For our geographic segments on an organic basis, revenue growth for the Americas was at 10%, EMEA grew at 9% and Asia Pacific came in at 14%. All regions primarily benefited from increases in analytics. Increases in research and advisory solutions provided an uplift in the Americas, while content and technology solutions was a key driver in EMEA. GAAP operating expenses grew 12% in the second quarter to $308 million, impacted by several changes incurred during the period. As we spoke about during the last quarter, most of our employees are working in a hybrid or remote capacity. This quarter, we recognized $10 million in impairment charges as we focus on rightsizing our real estate footprint to reflect our new work environment. We anticipate additional impairment charges related to real estate in Q3 of this year as we exit office space in various locations worldwide. We expect that this charge will be about $45 million in the third quarter. In addition to real estate impairment costs, we also incurred $5 million in transaction expenses related to the CGS acquisition. Given that we closed the acquisition on March 1, the first day of our fiscal third quarter, there will also be additional charges for the acquisition in the third quarter. We expect this charge to be about $14 million in the third quarter. Compared to the previous year, our GAAP operating margin decreased by 100 basis points to 28.6%, and our adjusted operating margin increased by 110 basis points to 33.7%, exceeding our guidance on this measure. Improvement was largely due to lower employee compensation expense as a percentage of revenue and lower content costs as a percentage of revenue. As a percentage of revenue, our cost of sales was 365 basis points lower than last year on a GAAP basis and 295 basis points lower on an adjusted basis. This decrease was primarily due to lower employee compensation as a percentage of revenue and lower technology-related expenses as a percentage of revenue, including our ongoing shift to the public cloud. When expressed as a percentage of revenue, SG&A was 470 basis points higher year-over-year on a GAAP basis and 185 basis points higher on an adjusted basis. The primary drivers include real estate exit costs, expenses related to the CGS acquisition, increased employee compensation expense and higher bonus accrual. Moving on, our tax rate for the quarter was 10%, compared to last year’s rate of 16%, primarily due to lower projected levels of income before income taxes and a tax provision reduction related to the lower rate. GAAP EPS increased 13.6% to $2.84 this quarter versus $2.50 in the prior year. Adjusted diluted EPS grew 20.2% to $3.27. Both EPS figures were largely driven by revenue growth, margin expansion, and a lower tax rate. A reconciliation of our adjustments to GAAP EPS is included at the end of our press release. As noted in our press release, EBITDA increased to $146.8 million, up 11.1% from the same period in fiscal 2021. We are now providing this EBITDA measure to allow added transparency for both our equity and debt investors. And finally, free cash flow, which we define as cash generated from operations, less capital spending, was $110 million for the quarter, a decrease of 15% over the same period last year, primarily due to higher estimated tax payments.  Our ASV retention for the second quarter remained greater than 95%. We grew the total number of clients by 18% compared to the prior year, driven by the addition of more corporate, private equity and venture capital, and wealth clients. This quarter we reached the milestone of more than 7,000 clients for the first time in our history. Our client retention remains at 92% year-over-year, reflecting the strength of our product portfolio and exceptional execution by our sales teams. As announced in our January CGS Investor call, we’ve suspended our share repurchase plan for the remainder of fiscal 2022 to prioritize excess cash flow for repayment of debt to reduce our leverage levels. We are committed to reducing our outstanding debt as quickly as possible. We are therefore extending our pause on share purchases at least until the second half of FY 2023. While we will continue minor share repurchases to offset the dilutive impact of stock option grants, we expect to keep our share count relatively flat throughout this period. Finally, we anticipate our dividend program will continue to deliver value to our shareholders as it has in the past. Given our outstanding first-half performance, the acquisition of CGS, and visibility for the rest of the year, we are updating our guidance for fiscal 2022. We expect organic ASV growth of $130 million to $150 million, raising our midpoint by more than 8% from our initial 2022 guidance set in September of $105 million to $135 million. This represents an acceleration of our organic growth rate of 7% from fiscal 2021, reflecting our conviction in FactSet’s continued momentum.  While CGS is not included in our organic ASV guidance, we expect CGS to contribute about $5 million in ASV in fiscal 2022. Keep in mind that our August 31st fiscal year means that we are only including CGS results in our last two quarters of this fiscal year. We will see an expected deceleration in GAAP operating margin given our real estate footprint rationalization, restructuring costs from Q1, and M&A costs. However, GCS is accretive to our adjusted operating margin, as reflected in the 50 basis points of planned margin expansion from the previous midpoint. And finally, we expect Adjusted EPS to be $12.75 to $13.15 versus $12 to $12.30 we have stated previously raising the midpoint by 8.6%. We will be providing medium-term goals for growth and margin at our Investor Day, but we will not be addressing this longer term view on today’s call. As we look to the second half of the fiscal year, we are encouraged by our pipeline, our ability to capture value-based pricing, demand for our digital platform, and high retention with our client base. We have confidence in continuing to see a higher volume of deals, with a healthy mix of large, medium, and small wins. However, the macro and geopolitical environment remains more uncertain than usual. We do not know the full impact of the Ukraine conflict, which could potentially lead to a recession scenario. In addition, there is variability in our bonus pool, the exercise of stock options, and our tax rate, all of which can make a significant difference in our financial results. Even with these challenges, our guidance reflects our belief that we are well-positioned for the future. And with that, we are now ready for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Manav Patnaik of Barclays. Your question please.
Manav Patnaik: Yes, hi. Good morning. Linda, just on the CUSIP contribution to guidance, $5 million of ASV. I guess can you just help us bridge the nature of their revenue contracts? I thought the contribution would be a little larger. And similar question around the margins, 50 basis points. Is there some other kind of integration costs that you're assuming in there? .
Linda Huber: Sure, Manav. I think we probably should be just a bit clearer about what's happening with CUSIP here. First of all, our organic measure of ASV, of course, does not include CUSIP. So, what did we buy when we bought the CUSIP business, which closed on March 1st? And the ASV from CUSIP for a full year will be $159 million. And looking at the half year, in other words, the two quarters that we're getting from CUSIP, we expect to see about $80 million of ASV as -- for the last two quarters of this year. On the revenue line, which is a little bit different, we saw about -- we'll see about $180 million of revenue coming from CUSIP; about $80 million is recurring and about $10 million is one-time. So, the $5 million that we quoted, we should have wrote -- written a bit more effectively in the script to explain that, that $5 million is additional incremental growth above and beyond what we bought in CUSIP when we closed it on March 1st. So, the ASV run rate initially, $159 million. Growth for the back half of the year above that from CUSIP will be $5 million. And contribution to you as well. So, sorry if we weren't as clear as we should have been about that, Manav.
Manav Patnaik: That's super helpful. And then just maybe if you could talk about -- I think you alluded to it, but just what the potential FactSet downturn playbook could look like should the macro get weaker for all of us? .
Linda Huber: Yes. Sure, Manav. We don't have an official downturn playbook yet, but I think there are a couple of things that we would look to do. We've been investing pretty strongly in our business. And I think we would think about which of those investments are most core if we did find ourselves in a downturn. As you can see, and I'm sure we'll talk about a little bit later. We've been pretty thoughtful about our real estate footprint change. We've taken a $10 million charge this quarter. We took about a $9 million charge last quarter. And we're letting everyone know that we expect a $45 million charge in real estate as we get to Q3. So, the real estate footprint, when we're finished with all this, we'll have reduced the run rate on real estate costs by about 40%. We'll talk a bit more about this in Investor Day, which, again, matches what our employees want with a hybrid work environment. Of course, if we hit an air pocket, our bonuses would proportionately come down, and I think we look a little bit more carefully at some of our other costs. But pretty typical stuff, take a look at core investments, take a look at the real estate footprint, bonus pool comes down, and I think we'd reprioritize a bit.
Manav Patnaik: All right. Thank you very much.
Operator: Thank you. Our next question comes from Toni Kaplan of Morgan Stanley. Your question please.
Toni Kaplan: Thank you. I wanted to actually follow-up on that adjusted operating income margin guidance. You raised it by 50 bps for the year. I would have thought that CGS would have added about 100 bps since it's only in there for six months, and you've been running above guidance in the first half as well on margins. So is the organic margin guidance in second half lower than what you were previously expecting, or is there conservatism, or what's driving the only 50 basis points increase in the margin guidance?
Linda Huber: Toni, let me take a shot at that, and Phil will add some comments to it. I think we're being thoughtful about this, but we would note that this is an historically very difficult to predict sort of time frame here for the back half of the year. Obviously, the geopolitical situation is tense and changing every day. And with the Fed, obviously, looking at 5%, 6% increases in interest rates, we do have a period here, which is unsettled. We've been thoughtful. We've been a bit conservative that might be fair, but we've only owned CUSIP now for 23 days. So, we're still trying to figure out what we have there and how that business will react to these conditions as well. So, we have obviously increased the guidance. We are optimistic, but we're also thoughtful that we are not in control of either the Fed or world events. And with that, I'll pass it over to Phil.
Phil Snow: Yes. So, thanks Linda. I mean what I might also add to that, Toni, is we're being thoughtful about our employees as well. So, we did invest quite a bit in compensation and equity for some employees in Q2. Our attrition is ticking a little bit higher than it was pre-pandemic. So, nothing to be too concerned about, but we definitely recognize that there's a lot of movement on the talent front. So, we want to make sure that we're prepared for that and doing everything we can for all that FactSetters that are adding great value to our company.
Linda Huber: And Toni, one other thing with CUSIP. Quite honestly, we built in several million dollars of expense for transition costs for CUSIP. Some of that around the technology transfer and some of that around the movement of the employees over to FactSet as a critical part of the financial system, obviously, the CUSIP system, has to remain working perfectly. And because of that, we were sure that we funded that well enough so that the transition goes smoothly and that we have no hiccups.
Toni Kaplan: Yes. Great. 
Linda Huber: I think that sums that up.
Toni Kaplan: Perfect. I just wanted to also touch on -- you mentioned the recent volatility in the market. There's been a slowdown in M&A. I know, Phil, you highlighted how the product is actually really valuable during these types of times. Just wanted to understand if you've had any sort of change in client conversations in the recent weeks since we've seen this a little bit more uncertainty. And I know you talked about small and medium-sized client wins during the past quarter or so. Is that something that's a little bit more at risk going forward, or I just wanted to hear about if anything has changed yet or if you think it just won't. Thanks.
Phil Snow: Nothing much yet, Toni. So I've spoken to Helen a lot about this. So I think as you highlighted, FactSet always does very well in times of volatility. And where we're beginning to see some more strength, which is very encouraging, is within the institutional asset management client type. So actually, that drove a lot of the acceleration this quarter from a firm type standpoint. And that really wasn't from seats necessarily. It was more from analytics and enterprise solutions. So that ongoing trend of our biggest clients wanting to rely on less partners and consolidate on to platforms like FactSet is certainly out there. And I believe in times like this, it really forces that conversation and really is to our benefit in terms of the relationship we have with them and all that we've done to invest. So nothing to be concerned about yet, and we've got a very broad portfolio here to win with. We might expect a little bit more, I think, if it was to hit anywhere, it'd probably be Europe in terms of decision-making, but so far, so good.
Linda Huber: Toni, just to follow up on that. Rebalancing of portfolios is going on at quite an intense rate right now. And as we see the increases in interest rates, that would potentially make fixed income more attractive. So what we do is provide tools to help investors and investor owners look at those transitions. The other thing is many of our clients are banks. And as interest rates move up, net interest margin, or NIM, for banks is growing. So banks are in a relatively healthy place with that addition to NIM. And the fact that there is volatility might be helpful to active managers as opposed to indexers and that may be helpful to the uptake on our products as well. So volatility is not necessarily a problem and, in fact, may be a tailwind for FactSet.
Toni Kaplan: Thank you.
Operator: Thank you. Our next question comes from Andrew Nicholas of William Blair. Your line is open.
Andrew Nicholas: Hi. Good morning. Thanks for taking my questions. The first one I had was on a comment you made, I think, Linda, on price realization in the Americas in the quarter. Just wondering -- or I think more specifically, you said that you were getting a wider range of clients with price increases. Could you flesh that out a bit more? Where were you able to get price this past quarter that you hadn't been able to historically? And maybe what you would attribute that to? Was that inflationary pressures or specific value-based enhancements from some of your investments over the past couple of years? Any more color there would be great.
Linda Huber: Yes, I'll take a shot at it, Andrew, and then Phil will add. We've been working very hard on value-based pricing and appropriate bundling of our services as we move forward. The 3% to 4% price increase has been sort of our rack rate. Our realization has been somewhat less than that because of various factors. And with additional discipline and focus and really good communication and training of our sales team, our realization has gotten better. We've moved first in the US regarding this sort of activity. And we'll move on to the rest of the world as we get into the third quarter and later in the year. So the fact that our realization is going up is very, very important to the top line, and we're quite happy with this effort. But a lot of it involves better analytics for clients, better information and data on usage and those sorts of things. So pricing is important. Value-based pricing is important, but the effort will continue around the globe and expand as we move into the third quarter. But we're quite happy with what we're seeing in the investments in our product, our products that's really made them more valuable to customers. And maybe, Phil might want to add a bit more about that.
Phil Snow: I think you said that perfectly. Not a lot extra to add there, Linda.
Andrew Nicholas: Great. No, that's helpful. And then, maybe for my follow-up, and I apologize if I missed it. I think I cut out a little bit during the prepared remarks, but could you update us on how you're thinking about the balance sheet and optimizing the balance sheet, having now gone through the debt offerings. Is there any better sense for your level of comfort on the leverage front or a range for us to think about in the medium to long term? Thank you.
Linda Huber: Sure. We're pretty excited that we were able to purchase the CUSIP business. It provided strong cash flow to us, and we were able to go to the public markets with a $1 billion bond deal split into five and 10-year tranches. And we did that on February 15 prior to the geopolitical situation getting worse. We were noticing, if we did that deal today, rather than at the time that we did, the 10-year has moved about 36 basis points and spreads have widened about 25 basis points. So our timing was fortunate and we felt really good about what we've been able to do. So a couple of comments on leverage, so everybody can, kind of, follow along here. Our gross leverage, that is leveraged before we take into account cash balances, is about 3.9 times right now. And we've made commitments that we will reduce that leverage as quickly as we can. So our plan is basically to look at paying back about $125 million a quarter. That may vary a bit. And so, our thinking is that, that leverage will come down to about 2.5 times gross leverage by this time next year. And at that point, it would be right to start conversations about what we would think about resuming share repurchase. With 2.5 times gross leverage, we're much closer to typical investment-grade leverage. So our target is 2 to 2.5 times gross leverage and we think we can get there over the next year. We've made commitments on that, and we're quite serious about getting there. The other piece for this, which is interesting is, on our floating rate exposure, we've hedged -- excuse me, 80% of that. So our bond pieces are fixed rate, and we've hedged our floating rate pieces at the balance of 80%. So we think that puts us in a pretty good place as interest rates continue to move up. So we're pretty happy with that posture, as the yield curve is moving around, flattening out. But we think for an inaugural offering, we did pretty well, and we're pretty pleased about it. So I hope that helps you with a full and complete answer.
Andrew Nicholas: Very much so. Thank you.
Operator: Thank you. Our next question comes from Ashish Sabadra of RBC. Your question, please.
Ashish Sabadra: Thanks for taking my question. Just wanted to follow-up on the CGS acquisition. Based on the prospectus, it seems like the CGS margins were high 50%. And I understand there's some investments that you're making in trying to make sure you transition some of the technology and back office work within FactSet. But as we think about normalized margins for that business once you've done the transition, how should we think about those margins? And any thoughts on accretion now that you've owned it for less than a month, but as we have better clarity on the funding costs and margins, how should we think about the accretion on an annualized basis going forward? Thanks.
Linda Huber: Sure. I think you're in the right ZIP code. One attractive feature of the CUSIP business is that it does have fulsome margins. I think the answer to your question though, Ashish, is we're going to have to see. We need to finish the transition process with the integration. As you've heard, we're running a technical services agreement with the seller of the business that could last up to a year's time. We're hoping we're able to transition off of that a little bit more quickly. And potentially, at that time, we might have a better view on what additional accretion would be. But I think we're going to have to -- we're going to have to live together now that we're married. And so we're going to have to see how that plays out. But for right now, I think you're in the right ZIP code.
Ashish Sabadra: Thanks Linda. And then maybe just a quick question on analytics. You flagged that analytics was strong across all regions. I was just wondering if you can talk about the pipeline there going forward and give any additional color on -- if there are certain products within the analytics, which are driving the strength of certain areas, end markets, which are driving that strength in analytics. Thanks.
Phil Snow: Hey Ashish, it's Phil. Yes, so I'm happy to talk about that. As I pointed out, I believe, on the last earnings call, we have good momentum in analytics. I see that carrying through into the second half. We certainly have a very high-quality pipeline for the second half, and a lot of that are greater than $1 million deals and analytics has a big part to do with that. In terms of what drove analytics this quarter, I'd highlight our portfolio services product. And also, we had a very good quarter in risk. Those are the two that I think stood out to me in terms of driving the acceleration from Q2.
Ashish Sabadra: Thanks Phil and congrats on a solid quarter. Thank you.
Phil Snow: Thank you.
Operator: Thank you. Our next question comes from Owen Lau of Oppenheimer. Please go ahead.
Owen Lau: Good morning and thank you for taking my questions. Linda, sorry to go back to CUSIP, but I recall from the last presentation slide. This business generates about $175 million. And I think you just mentioned you expect the revenue to be $159 million. I'm just wondering what drove the delta? And how should we think about the growth of this business going forward? Thank you.
Linda Huber: Sure. Owen, I think the difference there is the $159 million is the annual subscription volume for the business. The $175 million that you mentioned is the annual revenue that comes from the business. So, these are two slightly different things. For the half year on the revenue, I mentioned that $80 million comes from subscription revenue and $10 million, basically, for the half year comes from new CUSIPs that are assigned. I think it's that difference that you should think about. And the growth rate that we've talked about is $5 million on ASV, which is incremental. So the growth rate we've talked about as being in the mid to high single digits, similar to FactSet's core growth. And again, as we get more experience with this, we'll be able to talk a little bit more in detail about what we're expecting about that growth rate. Right now, we're just starting to look at new business opportunities with CUSIP. And we need to spend some more time on that, think about it, get those implemented very carefully and then see where we go. So I hope that explains a little bit more clearly.
Owen Lau: Got it. That's very helpful. Thank you, Linda. And then on another topic, could you please talk about whether FactSet is interested in like things like the crypto data display business. And I think at least one of your competitors have started to provide more crypto data on their desktop. I'm just wondering whether FactSet has any interest in this area. And have you heard of any demand from the clients in this product? Thank you.
Phil Snow: Owen, it's Phil. Yeah, so it's certainly of interest. We're actually taking a very close look at that now as part of our annual strategic refresh. So we've got a group looking at that. And at a minimum, I think you would expect to kind of be able to see some quotes on the system. And of course, we're beginning to see a crypto show up in all the client portfolios or some of the client portfolios that are on our system. So just making that work within the analytics suite would be important. And then beyond that, I believe there's some good opportunity. But we'll have probably a little bit more to talk about that, I would say, probably closer to the end of this fiscal year when we get through our strategic planning process.
Owen Lau: Got it. Thank you very much.
Phil Snow: Not a ton of demand yet from the clients, but we anticipate it's going to become more of a topic, for sure.
Owen Lau: Got it. Thank you.
Operator: Thank you. Our next question comes from Craig Huber of Huber Research Partners. Your line is open.
Craig Huber: Great. Thank you. Linda, I'm just curious, I'd like to hear your thoughts on this after six months at the company. Maybe you could just tell us where you think the biggest opportunities are from your seat, which your overall impression so far given your 20-plus year industry experience here? What are you seeing so far that you can share with us?
Linda Huber: Thanks, Craig. It's been a great six months at FactSet. We've been able to do some pretty terrific things on the balance sheet. And frankly, I was hopeful when I joined that we'd be able to find a strong cash flowing acquisition to get rated and be able to access the public markets. So we're ready for when interest rates move up. So I think we've accomplished that really, really well. On the product side, it's pretty exciting to see how the clients are reacting to the investments that we're making. I think deep sector where we're basically building out incredibly deep and broad information, starting with financial services and now moving on to different industry groups, energy and health care with some beta clients on in that area. That's pretty great stuff and better product, I think, than anyone else in the industry can offer. There's some housekeeping things we have to do here. You heard me talk a little bit about making sure the price realization comes through, and that we have good discipline on pricing. I think we're making some great strides on that, Craig. Retention is very high. The products are very sticky. And the client obsession really allows us to continue to have a lot of loyalty from the clients even when some of the junior bankers move on to other firms. They still want to use FactSet, which is really, really great. So I think we're on a really good trajectory. We're looking forward to providing some more guidance on Investor Day, growing the top line is first and foremost, and we're making progress and some margin expansion, of course, will be something we're looking to, and we'll have more to say again on that on Investor Day. And for right now, no share repurchase, but we hope to get back to it once we get our leverage levels back down to where we were. So, lots to do, but all good so far.
Craig Huber: That's great. My final question, if I could. You guys talked an awful lot about the non-traditional areas of your clients' private equity, venture capital, wealth, hedge funds, corporations and so forth, and said a lot of those were growing north of 10% here. If you add that whole group of clients up right now, I'm curious, what rough percentage of your overall revenue does that represent right now?
Phil Snow: Yes, that's not something we've traditionally broken out, Craig. We'll give some more thought to that, but I appreciate the question.
Craig Huber: Okay. Thanks guys.
Phil Snow: Welcome.
Linda Huber: Thank you.
Operator: Thank you. Our next question comes from Kevin McVeigh of Credit Suisse. Your line is open.
Kevin McVeigh: Okay. Thanks so much. Hey, Phil, I may have misheard you on the call, but I thought you talked about a lot of the outsized growth coming from the buy-side. But when I look at the supplement schedule, it's actually pretty interesting, because it looks like the ASV growth, if I'm reading it right, the sell-side is outpacing the buy-side. Am I right on that, or is that -- was that current quarter maybe revenue versus ASV, or just any thoughts, because it seems like the ASV on the sell-side has started to come on pretty strong.
Phil Snow: Yes. So I think we saw a little bit of a downturn on the sell-side growth this quarter, and we saw more strength in the buy-side. There are a lot of different client types in the buy-side. So I was talking about institutional asset management, in particular, which is the biggest piece of that, for sure. And the piece that is not growing in double digits, but I'm very encouraged by the strength that we saw within our largest client type and the one that we've spent a lot of focus on in terms of the portfolio life cycle. But in terms of the attribution to those numbers, I think if you have a call later with Kendra, I think, she could probably get into that in a little bit more detail for you.
Kevin McVeigh: Great. Great. And then just can we talk about the partnership with Aladdin, because that seems pretty interesting in terms of integrating Portware into Aladdin. And is that a template for something that continues, or -- and what are the economics like how does that work in terms of the partnership with Aladdin? And can you use that as a template for like State Street, so on and so forth?
Phil Snow: Sure. Yes. Thanks for the questions. So we do have -- as part of our buy-side number, we do have a pretty big business with partners, and this would be a good example of that. And there are lots of instances in our industry, as you know, where we would sit alongside Aladdin and lots of other firms in our space. So we have a good relationship with them, and we're going to coexist at a lot of clients. So if they want to use our execution management system, we want to provide that choice in the industry. And we are definitely talking to lots of firms about this type of partnership. I mean, another example is what we've done with Snowflake and Amazon, for example, but this is really, I think, a very good example of all of the work that we've done to invest in our technology and open up the platform and become more plug-and-play in the ecosystem. So I'm very excited about the partnership and some of the other conversations we're having. And I just think it just gives us more channels to monetize the value that we're creating at the company.
Kevin McVeigh: Totally does. In terms of like what's the revenue recognition on it, just so we get a sense of how it kind of sits within FactSet?
Phil Snow: Yes, we won’t – so whenever we do these partnerships, there's a whole different variety of different ways that both firms will benefit from this, but we're not going to talk about the specific economics of any given deal, but I think both sides are excited about it and it certainly gives more choice in the client base.
Kevin McVeigh: Thank you.
Phil Snow: Welcome.
Operator: Thank you. Our next question comes from George Tong of Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. You mentioned that pricing is stepping up this year. Can you discuss how much you expect pricing to contribute to full-year growth and how pricing increases compare with input cost increases that you're seeing?
Phil Snow: Hey, George, it's Phil. So I think it was in the script but we increased pricing from 3% to 4% this year, within the Americas in Q2, I would expect something similar for the EMEA and Asia-Pac regions which hits in Q3, so we did see a bit of an uplift in Q2. I think it was $6 million or $7 million from price above and beyond what we did last year, and as Linda mentioned earlier, we're getting better price realization through just how we sell normally, so we don't capture all of that typically, because we'll have another contracts that are out there, but that's typically what's in the majority of the smaller and medium-size deals, so we do have a lot of pricing power. I think we've been pretty conservative with our clients. We want to build that long-term relationship and continue to cross-sell, so a little bit of an uplift from this year, and I think the ratio would be similar to what you might have seen in prior year's between Q2 and Q3.
Linda Huber: Yes, and George, it's Linda. Nice to hear from you. On margin expansion, we have seen some of the drivers include the strong top line this quarter. Our compensation costs have been a little bit lower, particularly on the salary line, which has been down a few million dollars, whereas the bonus line has been up a bit and the equity line has been up a bit. The reason for that as Phil said, while we've moved through this time when it's a bit tougher to hire, we've moved a little bit more slowly in terms of the number of people we've been able to hire and we expect that to grow as we move into the back half of the year. On the bonus line, we've put up about $21 million for bonus for second quarter. It was the same in the first quarter, but we're running strong. We're looking at about $85 million for the full bonus line for this year. But if we do continue to punch above our weight in terms of what our guidance has been. We, of course, have to take that bonus line up. So just keep an eye on that. But our cost for content have been managed pretty well. To this point in the year, we've been happy that they've actually come in a little bit lighter than we expected. Now as others are looking to increase their prices, we're going to have to manage that very carefully. And of course, we look really closely at do we want to build and capture our own data or do we want to buy it or rent it from others. So as prices go up, we have to think about that a little bit more carefully. But for right now, under good control.
George Tong: That's very helpful. Thanks for the color. And maybe sticking with the topic of margins. You talked about some of the puts and takes, some of the accretion from CUSIP investments that you're making. Is it possible to provide a bit of a bridge for margins, quantifying some of those puts and takes in terms of basis points impact?.
Linda Huber: Sure. Let me try to do this compared to where we were at this time last year. And the incremental EPS from this quarter last year is $0.55. And the main drivers of that are $0.27 due to revenue increase and $0.10 due to margin increase. That's pretty important. We're getting the uplift from the business and from working on the margin. The tax rate has helped us to the tune of $0.19. But again, the bulk of that $0.55, $0.37 of it is coming from the business. So I just want to be very clear about that. At this point, George, one of my homework assignments is to better tie investments to what's going on with ASV growth and margin. Don't have great detail on that at this minute. It's something the FP&A team is working on. But suffice it to say the evidence is there that the investments are paying off really nicely. We've got to do a better job of ticking and tying that though for you. So point taken.
George Tong: Got it. Very helpful. Thank you.
Operator: Thank you. Our next question comes from Keith Housum of Northcoast Research. Your line is open.
Keith Housum: Thank you. Appreciate. Just, Linda, expanding on the previous commentary there in terms of the benefit from the lower taxes this quarter, this year. How should we think about that going forward? I mean, should we expect your effective tax rate to creep back up to prior levels, or is this lower tax rate sustainable?
Linda Huber: Sure. I think, Keith, you're going to have to go with what we guided toward for the rest of the year. ETR of 12.5% to 13.5%. Now we've got some tricky things in here. Part of it is what is going to be options exercise, tough to know. It depends on where the stock price goes. Part of this also goes to where the bonus calculation goes. And you see that we're taking some charges in terms of real estate and the acquisition cost, which will bring the rate back down. So please work with 12.5% to 13.5%. One of the things we're not going to do at Investor Day is give any longer term guidance on the tax rate because we don't control the tax rates, it's pretty bouncy. So let's work with 12.5% to 13.5% for the rest of the year and just kind of keep it there. We're pretty happy with that, but it's a tough thing to predict for the longer term. I hope that's helpful.
Keith Housum: It is. It is. Just in terms of your customer service and travel, I mean, one of the things that FactSet has always been known for is it's great customer service and it includes getting into the offices of its customers. And, obviously, this has changed during COVID. But as you guys think about your travel strategy going forward and your customer service, is there a pronounced change in your efforts to -- or your, I guess, permission is that big travel as it was, or how do you guys think about travel going forward and perhaps the impact it has in the overall business, both from a revenue generation as well as expense line?
Phil Snow: Yeah, I think -- well, we've learned that we can do everything virtually fairly well, you can see that in terms of our growth. But that is a big piece of FactSet's culture and our clients really appreciate that high-touch service we give them. So I think we'll see a good balance there. I don't expect we'll get back to anything like what we used to have from a T&E expense. But I recently just visited all of our US offices and spoke to a lot of our new hires. So people are jumping at the bit to get out there. Some of it is just based on what the clients are comfortable having us in their office, but that's going to continue to be a big piece of what we do as a company.
Linda Huber: Yeah. We had run about $15 million on G&A for the year. The first half of the year, the spending on that is less than $3 million. We're redirecting a little bit of the T&E spend to some other things we need to do in enterprise solutions to make sure we're able to do everything, Helen and the sales team needs to do for price realization and usage tracking amongst other things. So we're making very good use of slightly lighter T&E dollars. But we want to get everyone back to face-to-face meetings is still set as soon as we can. So, hopefully, that gives you some sense of the dimension of the spend as well.
Keith Housum: Hey guys. I appreciate the color. Thank you.
Phil Snow: I assume you're a FactSet user, and we'd be happy to visit whenever you like.
Keith Housum: We are. We are.
Operator: Thank you. Our next question comes from Shlomo Rosenbaum of Stifel. Your question please.
Unidentified Analyst: Hi, this is Adam on for Shlomo. Commentary in the press release with around 413 sequential increase in clients is primarily due to the corporate. We had close to 200 increase in user count was due to the research and advisory. Is the implication that the higher user count is largely coming from increased hiring at existing clients?
Phil Snow: The client -- the users, sorry?
Unidentified Analyst: Yes.
Phil Snow: Yes, it was a little unclear that I couldn't hear you very well. But yes, the users -- so we had a big uptick in users. We had actually a very large wealth deal that closed and the users are using the product that's been deployed and we'll recognize the revenue for that, I think, later in the year. So, it wasn't a driver of the quarter in terms of revenue. But the user count you're seeing that came from pretty big wealth deal and some other great wins on the wealth side as well as an uptick in corporate clients. So, that was what was driving the user count number. And then on the client count number, it was a nice mixture of corporate, private equity, venture capital firms, and wealth clients.
Unidentified Analyst: Okay. And for the CUSIP contribution, can you talk a little about the impact on the ASV side, any kind of -- how much of the guidance raise was from -- on the EPS side, I think from CUSIP?
Linda Huber: I think we'll talk a little bit more to spell that out at Investor Day, Shlomo, that would be okay with you. Frankly, we've had to move through all of this pretty quickly. So, we'll speak about that a little bit more and give you good reason to come see us on April 5th, if you could. I wanted to make sure we get a couple of housekeeping matters out of the way here before we close the call. Just wanted to remind everyone that we typically look at our dividend in the third quarter. So, please factor that into your thinking. We have talked with the rating agencies about our thoughts on dividend and so all of that will move along. On bad debt, it's ticked up a bit. Some of that is a result of Russia, about $200,000, more of it due to a bit slower payment from China, about $500,000, and it's part of the cycle of when we bill. So, nothing unusual there, but bad debt is something we're keeping a close eye on here as we move through the Russian situation. So, please think about that a little bit. Also on the facilities situation, as we reduce this cost, the charges that we've taken, we're hoping we're going to be able to increase investment availability by about $10 million to $14 million over the next three to five years. The idea is we're taking money away from funding large square footages of real estate. I'm going to put some of that back in to some of the investments we need to make. So, a redirection there of our real estate costs. I think that's about it. And I thought maybe it might be helpful in closing if Phil could do a little bit of a commercial for our ESG business plays through True Value Labs because we haven't received any questions on that.
Phil Snow: Yes. So yes, so our ESG business is doing well. It's grown about 75% since the acquisition, which I think was in the last -- the end of calendar 2019. So, we're excited about that, and we've got some nice products that are in the pipeline that are that are coming to market soon.
Phil Snow: So, I guess, I'll just wrap up here. So thank you all for joining us today. In closing, I want to reiterate how proud I am of our accomplishments in the second quarter. As a company, we accelerated the top line and had a stellar first half with strong momentum that will carry us into the third and fourth quarters. We worked across the organization to close the acquisition of CGS, our largest acquisition to date, financed in part by our investment grade in overall senior notes offering of $1 billion. Finally, we continue to invest in our greatest asset, our people. I look forward to seeing many of you on Tuesday, April 5, please come to our Investor Day. In the meantime, please call Kendra Brown with additional questions, and we'll speak to you next quarter. Operator, that ends today's call.
Operator: Thank you, sir. This concludes today's conference call. Thank you for participating. You may now disconnect.